Operator: Good morning. My name is Matt and I will be your conference operator today. At this time. I would like to welcome everyone to the Fourth Quarter and Full Year 2021 earnings call for The Bank of N.T. Butterfield & Son Limited. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist . After today's presentation, there will be an opportunity to ask questions, . Please note this event is being recorded. I would now like to turn the conference over to Noah Fields, Butterfield's Head of Investor Relations, please go ahead.
Noah Fields: Thank you. Good morning, everyone, and thank you for joining us. Today we will be reviewing Butterfield's fourth quarter and full-year 2021 financial results. On the call, I'm joined by Butterfield's Chairman and Chief Executive Officer, Michael Collins, and Chief Financial Officer Michael Schrum. Following their prepared remarks, we will open the call up for a question-and-answer session. Yesterday afternoon, we issued a press release announcing our fourth quarter and full-year results. The press release and slide presentation that we will refer to during our remarks on this call are available on the Investor Relations section of our website at www.butterfieldgroup.com. Before I turn the call over to Michael Collins, I would like to remind everyone that today's discussions will refer to certain non-GAAP measures, which we believe are important in evaluating the Company's performance. For a reconciliation of these measures to US GAAP, please refer to the earnings press release and slide presentation. Today's call and associated materials may also contain certain Forward-looking statements which are subject to risks, uncertainties, and other factors that may cause actual results to differ materially from those contemplated by these statements. Additional information regarding these risks can be found in our SEC filings. I will now turn the call over to Michael Collins.
Michael Collins: Thank you, Noah. And thanks to everyone joining the call today. I am pleased with Butterfield's performance over the past year, both in terms of our strong financial results and our continued development as a leading offshore bank and trust company. In Bermuda, and the Cayman Islands, we benefited from our market-leading bank and trust businesses while we continue to grow our product offerings in the Channel Islands, specifically Guernsey and Jersey. These locations are complemented by our private trust platforms in the Bahamas, Switzerland, Singapore, and in the United Kingdom, where we provide mortgage lending in the high-end Central London. The businesses are supported by our service centers in Canada and Mauritius, which have once again, helped drive improvement in operating efficiency. Along with the rest of the world, Butterfield's island jurisdictions faced health and safety challenges related to the COVID-19 pandemic. Through various quarantines and work from home mandates, Butterfield continue to provide safe and uninterrupted services to our customers. Our Cayman Islands business had strong deposit and loan growth in 2021 and now represents our fastest growth sector. The resilience of our island jurisdictions was evident in our credit book, which had a net credit release of $3.1 million in 2021 reflecting lower levels of nonperforming loans and an improved economic outlook.  Turning now to Slide 4, I am pleased to report another year of excellent financial results with net income of $163 million and core net income of $164 million, or $3.28 per diluted share. This translates to a return on common equity of 16.8% and core return on tangible common equity of 18.7%. Net income and core net income are up year-over-year, 10.55% and 5.9% respectively. These results reflect the market-leading position in banking and wealth, and the strength of our fee-based businesses, which helped offset some of the impact of continued low interest rates. For the full year, Butterfield's net interest margin was 2.02% with our cost of deposits at 11 basis points. We remain committed to actively managing our capital. Our strong earnings, and ROEs allowed us to pay out quarterly dividend totaling $1.76 per share or approximately 54% of net income for the year and we continue to target through cycle dividend payout ratio of approximately 50%.  In addition, we repurchased over 0.5 million shares at an average price of $36.93. I am also pleased to announce that the board has authorized a new share repurchase plan of up to 2 million shares for 2022. I will now turn the call over to Michael Schrum to provide an overview of results for the fourth quarter.
Michael Schrum: Thank you, Michael. I'll begin with a quick summary of the quarter's performance. Butterfield reported net income and core net income for the quarter of $41.7 million or $0.84 per diluted common share. This represented a core return on average, tangible common equity of 18.8%. NIM increased by 3 basis points to 2% compared to the prior quarter. I will discuss the fee performance and expenses in a few minutes, but I wanted to note here that during the fourth quarter, we did record a loss of $1.1 million in the Channel Islands relating to balance transfers out of a legacy defined benefit plan. This is included in other gains and losses line, and we do not expect this level of impact to repeat.  Turning now to Slide 7, which provides a summary of net interest income and margins. In the fourth quarter, we reported net interest income of $74.5 million, a decrease of $1.2 million due to lower volume of average interest earning assets. In the fourth quarter partially offset by increased average yields, which improved with asset mix. And were four basis points higher than the prior quarter. NIM of 2% was 3 basis points higher than 1.97% in the prior quarter, due to lower deposit balances and deployment of cash into high yielding instruments. Loan yields were down 4 basis points. And during the fourth quarter, the blended rate for loan originations was 3.82% for $239 million of new loans up from 3.42% for $278 million of originations in the third quarter of 2021 due to new Bermuda commercial loans.  We continue to deploy excess cash into the securities portfolio with a net average balance increase of $480.4 million for the quarter as we invested in UK gilts, U.S. Treasuries, and agency securities. New money yields averaged 1.08% in the fourth quarter of 2021 or five basis points lower than the 1.13% in the prior quarter. Consistent with the market view that longer-term rate outlook continues to improve, we temporarily invested in some shorter-term maturities to retain some flexibility and add some protection from unrealized marks in the available for sale portfolio. Going forward, we look to revert to reinvestment in traditional agency securities. Turning to Slide 8, non-interest income was very strong in the fourth quarter of 2021, increasing 7.5% to $52.7 million compared to $49 million in the prior quarter. All business lines grew compared to the prior quarter, with seasonally elevated credit and debit card transaction activity, increasing banking fees, and trust revenue benefiting from new business and increased activity based fees. The bank's higher non-interest income resulted in a fee income ratio of 41.2% in the fourth quarter of 2021, compares favorably to our peer group and continues to represent a stable and capital efficient revenue stream for the Bank. Slide 9 provides a summary of core non-interest expense which decreased to $83.7 million in the fourth quarter of 2021, compared to $84.2 million in the prior quarter.  As we had expected, expenses moderated due to redundancy costs and a comparative quarter, as well as decreases in expenses for recruitment, technology, and consulting services expenses compared to the third quarter of 2021. The core efficiency ratio improved slightly during the quarter as a result. Slide 10 summarizes regulatory and leverage capital levels. Butterfield maintains conservative regulatory capital levels that continue to be strong and well above statutory requirements. The Bank's elevated deposit levels maintained our TCE to TA ratio at 5.8%, which remained slightly below our targeted range of 6% to 6.5%. We do expect interest rate-driven OCI marks in the available for sale portfolio to continue to keep this ratio below the target range for a period as U.S dollar interest rates are increasing.  Turning now to slide 11, Butterfield's balance sheet continues to be strong and conservatively managed with a high degree of liquidity. Deposit levels have remained flat at $13.9 billion this quarter, compared to the prior quarter, and are above the $13.3 billion at year-end 2020. In the fourth quarter, we were once again able to deploy excess liquidity into the investment and loan portfolios.  On Slide 12, we show Butterfield's asset quality remains exceptionally high with low credit risk in the investment portfolio, which is 95% comprised of AAA rated U.S. government guaranteed agency securities. This is down from 99% in the prior quarter as we invested some Sterling cash into AA rated UK gilts. Consistent underwriting continues to result in two thirds of loan assets in full recourse residential mortgages in Bermuda, Cayman, and the Channel Islands and the UK. We continue to build out our residential mortgage offering in the Channel Islands and expect that book to bill gradually to a target of $500 million over the next four to five years. Past due credit metrics improved during the quarter and non-accrual loans have held steady from the prior quarter representing 1.2% of gross loans.  We remain vigilant and continue with outbound calling programs, and are actively working with any borrowers who may experience difficulty. On Slide 13, we discussed the average cash and securities balance sheet with a summary interest rate sensitivity analysis. Butterfield's weighted average life in the AFS investment portfolio increased slightly to 5.4 years from 5.3 years last quarter due to slower prepayment speeds with maturities of $285 million this quarter, down from $310 million in the prior quarter. Butterfield continues to expect a potential increase to net interest income in both up and down rates scenarios. I will now turn the call back to Michael Collins.
Michael Collins: Thank you, Michael. During the first quarter of 2022, we started to see a momentum shift towards the further opening of our island jurisdictions with improved air lift capacity and expect increased cruise ship visits in Bermuda and Cayman later in 2022. Throughout the pandemic, I've been pleased with the strong performance of our retail and commercial banking operations in Bermuda and the Cayman Islands. In the Channel Islands, we have increased our residential mortgage lending book, which has already grown to around $130 million.  As the interest rate outlook is now more constructive, our rate-sensitive balance sheet and prior experience suggests that higher rates will provide a meaningful uplift to net interest income and profitability. Since 2016, our ROE have been in the range of approximately 15% to 25% during a full rate cycle. With our high-quality fees representing approximately 40% of revenues, we are able to generate high risk adjusted returns without taking significant credit or investment risk. The majority of our growth in the past few years has come from acquisitions, including the 2016 purchase of private banking, investment management, and trust business from HSBC Bermuda, Deutsche Bank's financial intermediary business in the Cayman Islands, and Channel Islands as well as the foothold in Singapore for trust, and most recently, the acquisition of ABN AMRO 's, Channel Islands business.  We continue to evaluate deals and believe acquiring appropriately priced offshore trust or banking businesses can be an accretive way to expand our footprint and continue Butterfield's growth story. Beyond M&A, we estimate our long-term organic balance sheet growth rate to move more in line with the blended GDP rate for our local jurisdictions of around 2% to 2% to 4%, with additional potential earnings per share growth coming from share repurchases and strategic cost management. Butterfield's ability to create shareholder value continues to benefit from our strong balance sheet, leading market positions, robust infrastructure, efficient operations, and customer - centric culture. I would like to thank our staff, clients, the Board of Directors, and all of our stakeholders for their support and contributions, that continue to drive Butterfield success. Thank you, and with that we'd be happy to take your questions, Operator.
Operator: We will now begin the question-and-answer session, to ask a question, . And today, any timing question that's been addressed, and you would like to withdraw your question, . At this time, we will pause momentarily to assemble our roster. Our first question will come from David Feaster with Raymond James. Please go ahead.
David Feaster: Hi. Good morning, everybody.
Michael Collins: Good morning.
David Feaster: Maybe you started on the fee income side. It's great to the strength in the quarter and just looking at the trust fee specifically, could you just talk a bit about what drove the increase in ? Whether you made any new hires to help facilitate the new business generation, whether you are just seeing more asset flows the Bermuda, or if there was a different geography that solid strength? And then, were there any other -- you talked about some transaction fees. Just curious -- maybe was there anything more one-time in nature that added to the strength in the quarter?
Michael Schrum: Yeah, sure. Thanks for the question. I'll start off, I think, with 41% fee income ratio. The best part about that is it's actually really across the board. So it's really evenly distributed among bank fees, custody asset management, and trust, and FX. And one thing we've done recently, we've hired some people on the FX side to really focus on the reinsurance industry, and that paid dividends this quarter. So just a lot of outbound calling international business is still holding up really well through the pandemic. Obviously, they can work at home. So we've done really well on the FX side, but I'll let Michael . Thanks, David. Michael Schrum. Just specifically on the trust fee is really a combination I would say of new client on-boarding. So we've had a strong pipeline for a number of quarters, but it's been difficult to convert the pipeline into new opening on boarding of trust clients because typically these ultra-high-net-worth clients they would like to have a meeting, obviously before they sign up. But this is finally seeming to open up a little bit now and we landed some decent amount of pipeline in the quarter. The other part of the fees, which were really more activity base. So these are sort of special review fees for a trust that are restructuring or want to restructure their assets, which is probably less repeatable. But it's just nice to see coming out of the pandemic a bit -- some activity there as well.
David Feaster: Yeah. That's terrific. And then just thinking about the increased business development and the improving economic activity, would you expect marketing expenses kind of return back towards more normalized levels this year and just -- how do you think about inflationary pressures and overall expense growth looking forward?
Michael Collins: So I think in terms of inflationary pressure particularly on salaries, we are seeing whatever else is seeing in terms of salaries, demand going up in our Halifax Service Center. So obviously part of North America, so it's whatever and else's experience. We haven't seen that as much in our island jurisdictions of Bermuda came in. Cayman, Guernsey, and Jersey, it's a bit of a different market here. We do think that will happen a little bit, but we're not going to see the double-digit inflationary pressures on the salary side in the island jurisdictions. But we will have to pay up a little bit more in  which is a hot market in terms of a lot of companies setting up there.
Michael Schrum: David, it's Michael Schrum. Just a little bit more broadly on marketing and business development. Obviously, that is starting to pick up, which is a net positive for us. I think we still are able to manage. We have some decent tailwinds on the expenses line as well and we'll just monitor that pretty closely. I think what we're looking at a little bit down the road is there anything that we could pull forward that we re-sequenced during the low rate environment such as branding that we could pull forward, and maybe accelerate a bit as we come out of the pandemic here. But generally speaking, I think we still would want to hold the line on expenses very much.
David Feaster: That makes sense. And then just touching on new loan yields. That is CDI improvement quarter-to-quarter. It sounds like it was somewhat of a mix issue, but just curious what you're seeing on the new loan yield . Do you think new loan yields have at least stabilized and you might be seeing some modest improvement just given the movement in the curve and prospects of rising rates?
Michael Schrum: Yes. Sorry, it's Michael Schrum again. So, I mean, if you look across the loan book, this quarter was refreshing to see some new originations of Bermuda commercial, which was at a higher yield than the blended average. If you look at the  side -- obviously, just as a reminder, we do have about a billion for sitting in Sterling, which tied to the Bank of England base rate; then we have close to a billion of resi mortgages in Cayman, which is tied to U.S. prime. So again, that beta is going to be fairly high on the loan side. And then close to or just about a billion in Bermuda, which is tied to the Bermuda base rate, which is the rate that is a managed rate, if you will, but typically triggers around if those funds change. So I think going forward, we do have a good pipeline in all of our jurisdictions actually both from on the resi and commercial side. So I think we feel fairly optimistic. Again, we're not a big loan growth story. We're pretty selective particularly in the commercial space around return on risk-weighted assets. But it's good to see in all the jurisdictions that there is some demand in the market.
David Feaster: That's terrific. Thanks, everybody.
Michael Collins: Thanks.
Operator: Our next question will come from Alex Twerdahl with Piper Sandler. Please go ahead.
Alex Twerdahl: Hey, good morning guys.
Michael Collins: Morning Alex.
Alex Twerdahl: Just wanted to first drill in a little bit more on the rate sensitivity, which is certainly I think a big part of the story here. And I know there's a lot of moving parts of the loan portfolio, but I guess my first question as we think about the outlook for the yield curve going forward, or for the forward curve, I guess, and the expectations for rates in the U.S., do you think we're going to see similar symmetry in loan yields from what we saw when rates were coming down in early 2020. I mean, can the loan yields get all the way back up to the 5% range if we do, in fact, get 6 rate hikes in the next 12 months or so?
Michael Schrum: Yes, that's a great question on the loans. Maybe I'll -- it's Michael Schrum, I will start on loan side. But there is an -- obviously we've done a few acquisitions, Michael referred to, particularly in the Channel Islands with ABN, which really shifted quite a lot of the balance sheet around the groups, so less of  to the U.S. rate environment and slightly more to the U.K. Environment, both in terms of deposits and loans. So that's kind of a mix shift a bit in terms of where this could peak out. But I certainly think, if you think about the Cayman loans that are tied to U.S. Prime, you think about the Bermuda base rate and the Bermuda commercial base rate, those would certainly revert to historic levels. The slight nuance here is the 1.5 billion of resi mortgages that are ultimately going to be originated at a lower margin. So it's going to blend down the loan yield overall a little bit.
Alex Twerdahl: Okay. And can you just remind us from the billion -  that's tied to the U.K and tied to the Bank of England. If I'm not mistaken, a lot of those are sitting on floors. What do we need to see from Bank of England for those to start repricing higher?
Michael Schrum: Yeah, so we're just at the floor right now, at some of them were just starting to see a positive move on the yield side with the recent great hike from the Bank of England.
Alex Twerdahl: Okay, so if we get another one will get -- pretty much the whole portfolio repricing higher immediately? Is that how it works.
Michael Schrum: . Yes.
Alex Twerdahl: Awesome. 
Michael Schrum: And then 
Alex Twerdahl: Sorry.
Michael Schrum: Sorry, I was good.
Alex Twerdahl: In terms of cash position, how much of that is tied to Fed funds versus other currencies.
Michael Schrum: So we are tactically F-neutral. So, in a way, if you look at the deposit base, it's about 22% of sterling, and that is the equivalent of what's sitting in the cash balance effectively, and you saw that a bit coming through reinvestment yields which is obviously we purchased some two-year UK gilts which are much, much lower absolute rate than in the U.S. rates were at the moment. So essentially, you got 22% of cash balances sitting in Sterling, which is what's going to be tied to the short end of the curve. Again, as a reminder, our cash position, we don't have a lender of last resort of central bank, but the cash acquisition we manage on a three-month ladder basis. So a slight lag in terms of coming up. I think we feel fairly positive in terms of the outlook.
Alex Twerdahl: Okay. So in another way, if you take the lag out in it as rates go higher, you might see something like a 75? You might see your beta to Beta V around 75% which are Fed funds and that cash position, assuming the Bank of England does nothing?
Michael Schrum: Yes. That's probably a good estimate. I would say, if you look at the last cycle in terms of the beta assumptions for our demand deposits, there's typically an early out-performance under Beta's because it takes a little while for the market re-priced call deposits in particular, and we would expect that to be the case this time around as well.
Alex Twerdahl: Okay. And then -- I know you guys shortened up a bit in securities portfolio. Can you just let us know what could be maturing in the next couple of quarters, and then what the plans are for the reinvestment? I know you said you're going to revert back to a normalized securities strategy. And then also in terms of the cash deployment strategy with rates now the 10-year above 2%, how does that change the outlook for the laddering of any cash that you might want to ladder at some point?
Michael Schrum: Yes. We typically -- the way we manage the balance sheet is we typically look at the deposit level and then you need 20% of that between the 4 banking jurisdictions to manage your flows between customer flows and treasury flows. So that's typically what we would look to target in terms of the cash balances, so that will be your cash and reverse repurchase short-term investments. So looking at that, there's still about $400 million or $500 millions of excess to deploy. We would look to deploy that into MBS -- traditional MBS or agency securities, which is sitting at three handle or close to three handle now. But again, it will be laddered out over time. We're not a market-to-market shop, so we're just really using the securities perk, which is fixed rate assets to offset some of the asset sensitivity that comes from the floating rate nature of the loan book in our markets and the behavior  deposits. So I think what we did over the last couple of quarters was do a little bit shorter reinvestment in anticipation of rising rates, which will help us with the roll down, so to speak. And so a two-year treasuries, etc. Obviously, had an impact on yield, but it will certainly help in terms of re-laddering later on. What we're seeing in terms of prepaid speeds, I think I referenced them a little bit earlier that they're down about 25% on the MBS perk, so we were sort of peaking out in Q2 last year at about $330 million quarter maturities, and obviously with the extension risk, now we're down to about $75 million a month - ish.
Alex Twerdahl: Okay. Very good color, and then just final question for me. Just going back to that fee question from earlier, just in terms of the trust. And I guess some of the other lines also, but it's what we saw for the core run rate in the fourth quarter. Is that the right place to start 2022? Or I know there's some seasonality in banking, fee revenues, etc. But as I look at trust, for example, and the new revenue, is that the right starting point? And then you alluded to the pipeline having -- been growing for a couple of quarters, is there still a decent pipeline for new business on the trust side?
Michael Schrum: Yeah. The trust side, we separate the annuity type fees that we get from the trust, which is the management of the underlying trust. And then we have the activity base fees which can either come when the trust is restructuring the underlying assets or when there's additional reporting, for example, to do on those trusts. So I would say it's probably a little bit high for the fourth quarter just because of the activity-based fees. On the banking side, as you've seen in the prior year's, probably normalize that about 1.5 million of seasonal adjustments in Q4, which are really related to Christmas shopping and credit card acquiring fees as we've started to see an opening of both the Cayman and Bermuda economies for tourism.
Alex Twerdahl: Awesome, thanks for taking my questions.
Michael Collins: Thanks Alex.
Operator: Our next question will come from Timur Braziler with Wells Fargo. Please go ahead.
Timur Braziler: Hi, good morning.
Michael Schrum: Hey, Timur.
Timur Braziler: Maybe just following up on that last question, looking at the Beijing revenue and that's well ahead of three pandemic levels. You just said that about half of that is the seasonal effect. I guess, what's driving such a strong level of banking revenue with the jurisdictions still not fully been. And if we back out, that seasonality getting us right around $14 million, is that the right run rate and that continues to grow as jurisdictions open up? Or is there something else there that gets us back to a level more consistent with pre -pandemic levels?
Michael Collins: Right. I think at a high level actually. We continue to be pleasantly surprised in terms of how much domestic, economic activity there is. So our credit and debit card volume has been really quite strong, and that's people just in New York or anywhere else, where people are ordering food in and buying purchases online, and that sort of saying. So that combined with vacations, the hotels, and particularly in Bermuda during the winter season are not particularly full, but there's a lot of staycations. And Bermudians and Canadians staying in hotels. So it's just people aren't traveling as much, but they are spending just as much as they used to spend basically domestically. So it's been consistent.
Michael Schrum: Yeah and Timur, it's Michael Schrum. I'd probably say that's a bit of put a take, put and give, if you will, between the banking fee line and, maybe the asset management fee starts to improve a little bit as we get off the bottom here as a reminder, we do run now a money fund and obviously we're forgiving the management fee on that. Historically, that's been higher. Banking fees we did also do selectively we pricing on some of the periodic fees and banking so that we believe that is sustainable. And then obviously the balance sheet is just continued to be very -- deposit levels, continue to be pretty high on the balance sheet. And that just drives the periodic fees and transaction fees a little bit higher as well. But over time we've probably a little more optimistic on the effect side. Some of the seasonality in banking and then Asset Management should revert in terms of the management fee there.
Timur Braziler: Thanks for that. And then maybe just circling back to the beta conversations starting on loans, I guess, historically, you guys have gone every other rate hikes for re-pricing the resi, portfolio. Is that still the expectation for this future rate increasing environment? And what's the thoughts on when the first increase rate hike would go into effect and as the plant still kind of every other one?
Michael Schrum: Yeah. That's exactly what we've modeled on the loan betas. Obviously we are sensitive to competitive pressures and, as you know, this kind of a front book, back book thing here as well, but we've certainly modeled 50 loan beta on the resi side with a 25-basis-point , obviously sort of that's what goes into the model. Then it will depend on what everybody else is doing in the market a little bit as well. And affordability for us, we have a pretty season , and coming out of the pandemic, we just need to keep an eye and obviously, a little more performance, which continues to be very good, but just want to keep that in mind as well.
Timur Braziler: Great. Okay. And last one for me just sticking on the beta conversation, last rising rate environment you guys pretty drastically outperformed the published sensitivity given how strong the deposit base is. I guess the mix shift into the Channel Islands will that drastically change the equation maybe give us expectations on Channel Islands deposit betas versus Bermuda and Cayman and as we look at that interest rate sensitivity today maybe just talk us through blended beta assumptions there relative to what we saw in the prior rising rate environment.
Michael Schrum: Yes, sure. We've back tested on the last cycle of beta assumptions for Bermuda and Cayman and the Channel Islands. Obviously, the ABN deposits are a little bit newer and we're a little market share in Channel Islands and the competition is a bit fiercer. So where we end up is at 20%/25% beta on call in Bermuda and Cayman. And about 70% on term and about 50% to 70% beta across the deposit products in the Channel Islands. And so, if you think about the early -- as I think about the early part of the cycle, the disclosures are parallel 100 and 200. The early part of the cycle is probably not -- I need to move as quickly on the deposit cost side, and we've just talked about loans already, and then later on in the cycle, we peaked out in last cycle in Q3 2019 at about 50 basis points on cost of deposits. So I will say it's still fairly low, but again, subject to the competitive pressures that we're seeing in the market which we expect to be pretty lagging on the first 100 basis points. So I would say, there's just a lot of liquidity. Everyone's setting a search deposits, etc. And that's obviously our funding base, but on the other hand, it also needs to make sense from a risk way to asset perspective for us. So those again, what goes into the model, I think that symmetry in the sensitivity is probably not quite reflecting how we expect that to happen in the early part of the cycle, probably outperform and then later on we will have to wait and see what happens.
Timur Braziler: Got it. Thanks for that.
Operator: . Our next question will come from Tim Switzer with KBW. Please go ahead.
Tim Switzer: Hey, good morning. Thanks for taking my question.
Michael Collins: Hey, Tim.
Tim Switzer: You guys mentioned with the deposits that a lot of customers are starting to deploy their savings a little bit. Do you have any insight forward-looking on how deposits can trend this year, and how elevated do you think these deposit levels are, and will that normalize at some point?
Michael Schrum: I mean, sorry, it's Michael Schrum. I think we talked a couple of quarters was 70 where the onset pandemic makes about pension withdrawals that we're allowed in our some of our core markets, which was a one-time election for folks to withdrawal from otherwise locked in pensions up to 25% in Cayman, 10% with some means testing and Bermuda and we saw a certainly a lot of retail deposits come onto our balance sheet as a result of that. We believe ultimately there's need to be redeployed into some form of pension of all asset class for those folks. But I think a lot of people took the election because of the uncertainty around how their financial position was going to shape up during the pandemic and it's obviously turned out better and certain deposits hang around for a bit. So we have some deposits in the retail side. It's probably $300 to $400 million. On the corporate side -- on non-financial corporate side we also saw an inflow in deposits particularly in Cayman. So the overall info is probably about $1.2 billion in Q4 2020, and it's stuck around trying to find a home. And we do expect -- if I put it all together, we expect 500 million to 600 million to still  the balance sheet over a period of time. Now it's still here, so I'm not sure exactly when, but it doesn't fit with our historical CAGR growth profile given the underlying economies. So that is still the expectation.
Michael Collins: Yeah. And also I think other than the search deposits, pandemic-related, we have a lot more stability in the deposit base because we had some very large concentrations in trust and family offices deposits in Bermuda and hedge funds in Cayman over the years that have really dissipated somewhat. So that creates a lot more stability in terms of our remaining deposit base. But some of the pandemic stuff will come off over time.
Tim Switzer: Okay. That make sense. And we're looking for  expenses for this year, you mentioned holding the line and that there was maybe some cost leverage you had to offset some of the inflation pressures. What can we expect for this year? And is there potential additional pressure on the expense line once we get some interest rate increases and NII starts improving?
Michael Schrum: I think Michael talked a bit about the inflation pressures across different markets. I think we're pretty much in tune and keeping on top of how that's playing out and pretty sensitive obviously to turnover etc. I think the overall expenses we previously talked about 82 to 83 a quarter number. We're almost there now and I think we've certainly be very shortly. And so that's kind of where we're thinking we're going to end up this quarter of this year as well. But I would say we're still monitoring the inflationary pressures that we're seeing on wages. And then as I said before, if there's an opportunity for us to pull forward some of these projects, which are kind of must-do projects, whether it's the re-branding project; as you know, Butterfield re-branded about a year-and-a-half ago and we sequenced that spend really as a result of very low interest rates, and maybe there's an opportunity to accelerate that now. So we are looking actively for those opportunities as well, and we'll obviously be happy to talk about those as they're identified.
Michael Collins: And even with Halifax. So that's obvious our lower-cost service center even with 10% to 15% inflationary wage increases, it's still 40% less expensive than Bermuda & Cayman. And a great quality workforce that we will continue to build out Halifax as we get operations and call centers and things that we don't need. In the various island jurisdictions, we'll continue to build out Halifax. There won't be the cost differential that maybe we would have 10 years ago in Halifax. But the combination of the high quality workforce plus the fact that it's still always going to be a bit less expensive in Bermuda and Cayman will help over time. But coming into this year, even though interest rates are rising, and that's obviously going to do very well for us. We're focused on expenses and we will continue to see what we can do on the cost side in addition to rising rates. So we're not just going to sit on our hands and wait for rates to rise. I think there's some efficiencies that we're going to focus on this year.
Tim Switzer: Awesome. Thank you. And with the M&A pipeline right now, how is that shaping up in our discussions a bit more active than in the middle of the pandemic, and I guess if you could differentiate just between the private trust businesses and the bank businesses.
Michael Collins: Yes, sure. I think we talked about during the pandemic on Channel Islands in terms of banks, because obviously we've done some acquisitions there. We're pleased in the sense that ABN AMRO really diversified our balance sheet and revenue stream so that we're really -- our exposure is really a third Bermuda, a third Cayman and a third Channel Islands. Strategically we wanted that balance, so we have achieved that, we will continue to look -- I would say on the banking side that we're very hesitant during the pandemic because you couldn't value loan books. I think that's obviously changed somewhat, but I wouldn't describe the banking side as being active. We continue to have constructive discussions on the trust side. And if you remember, we're sticking with our core ideas in terms of basically it's got to be in our existing jurisdictions. So we're not going to start a new trust jurisdiction. It has to be 2/3 private trust. So a lot of these entities are of a mix of trust -- private trust income plus corporate administrative income. We don't want that side of the business. We just want private trust and basically under $50 million so these aren't huge acquisitions. And basically looking for acquisitions that are less than eight times EBITDA.  So we're still in constructive discussions. I'd say the reason it takes so long is that our risk appetite from an AML perspective, given perceptions, and being a bit outside the U.S. or Europe, we have almost no tolerance on the AML KYC side. So when we get in the discussions and we start doing due diligence, typically there will be a few clients that we wouldn't want to take on and maybe the vendor will take those back and other times they won't or there will be some litigation. So we look at a lot of stuff and walk away. But I would say we are having some decent discussions and we'll just see where those go this year.
Tim Switzer: Great, thanks for the color.
Michael Collins: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Noah Fields for any closing remarks.
Noah Fields: Thank you, Matt. And thanks to everyone for dialing in today. We look forward to speak with you again next quarter. Have a great day. Thanks.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.